Corrado De Gasperis: Good morning, everyone. This is Corrado De Gasperis and welcome to our Quarterly Zoom Call. I’ll provide a brief summary of the information included in our press release from this morning and from our quarterly report on Form 10-Q that we filed last night, including our progress on our recent breakthroughs in the lithium-ion battery recycling processes here in Nevada, our large scale industrial processing facility in Iowa and our mercury remediation business in the Philippine. I will also provide updates on revenue projections and other corporate items including one additional upcoming transaction. I know there’s a lot to cover and I’m really looking forward to the Q&A. So I’ll try to be brief in the prepared remarks. If you don’t have a copy of today’s press release, you’ll find a copy on our website at www.comstockmining.com by just clicking on the Press Release tab on the main menu bar. Our Form 10-Q is also available as of last night via EDGAR on www.sec.gov. Please let me remind you that we’ll make forward-looking statements on this call including our acquisition, construction, deployment and revenue plans for the next three years. Any statements relating to matters that are not historical facts may constitute forward-looking statements. Our statements are based on current expectations and are subject to the same risks and uncertainties that could cause actual results to differ materially. These risks and uncertainties are detailed in previous reports filed by the company with the SEC and in this morning’s press release. And all forward statements made during the call are subject to those same risks and uncertainties that we can’t identify. Once we complete the prepared remarks, Zach Spencer, who is here with me will direct all questions zooming on us and I’ll happily answer that. If you’re not using Zoom, you can follow up with us after the call directly or via our website with any additional questions. In just six short months, we’ve seen a dramatic leap in our balance sheet where our net assets have more than doubled from just $33 million to now over $70 million, while eliminating all of our debt. We have made strategic secured investments in MCU, LiNiCo and LP Biosciences, all of which are actively ramping up production plans, with MCU in the Philippines this year, LiNiCo in Q2 of next year, LP Bio in Q3 of next year. We’ve also advanced secured loans to Plain Sight Innovations, a breakthrough extraction technology company specializing in cellulosic products, including biofuels and also working directly for us on a lithium extraction solution at LiNiCo. All of these investments are secured, high yielding and with a unique IP that we are commercializing into extraordinarily high revenue growth models and throughput generators for us. We have also invested in a material science-based quantum technology for our mining batteries and carbon capture lines of businesses that I’ll expand on a little bit more in just a few minutes. As I mentioned, our assets increased by almost $40 million, driven by four factors; first, an increase of $18 million in our investments, driven by GenMat about $12 million and LiNiCo $6 million. Secondly, an increase of about $5.5 million in our secured notes receivables, including an almost $2 million increase in the senior secured note that we have with total gold. That’s due this upcoming March and another $1 million increase in the secured loan, as I just mentioned, the Plain Sight Innovations. As a side note, the total note pays us cash interest of nearly $70,000 a month and they are current on all their payments. Third, we have an almost $8 million increase in what’s shown on the balance sheet as a derivative asset that’s tied to the shares that we’ve contributed to LiNiCo and GenMat. This is economic and that we retain any and all the appreciation in the value of those shares above our commitments. And we expect those amounts that will be monitor -- will be monetized, excuse me, over the next two quarters to benefit Comstock. Fourth, and last, we had an increase of about $6 million, just simply in the net extinguishment of all of our debt and the increase in our cash. Overall, $40 million increase in our balance sheet. We believe each of these new investments has near-term valuation potential of literally over $1 billion, with most of them representing potential for multiples of that amount. Shares outstanding today total 54.1 million, including all of the shares issued to Renewable Process Solutions, RPS, GenMat, LP Biosciences and MANA Corp. So those are complete in total for all those recently completed acquisitions. Again, these transactions have been structured safely with assets secured and tremendous accretive value and upside from incredibly large and markets, which I’ll go over a little bit more in a minute. Just to wrap up on the corporate side, as you saw, our cash is over $5 million at June 30, with $25 million in non-current non-core asset sales waiting to be closed. That includes our industrial and commercial non-mining lands, totally over $13 million all under contract. We expect those to close in the near future. And we have had a remarkable increase in interest in the Silver Springs Opportunity Fund, actually an almost unbelievable increase in interest with an increasing number of very large strategic investors fully engaged with the interest of investing in. The fund has fully leased its manufacturing capacity. It’s fully operating the Silver Springs Regional Airport and we get inquiries from new companies wanting to come into Northern Nevada and Silver Springs on an almost weekly basis. In fact, we have a call right after this one, with an especially large company looking to do that. The funds recent issuances, capital raises, if you will are being valued at $1.80 a share. That was the $335,000 investment that we have on our balance sheet at over $12 million today. So even though the $40 million increase in our assets, we have almost $11 million to $12 million unrecorded assets in terms of fair value relating to our Silver Springs investment. If you put the value comps against that, you’d be looking at closer to $3 a share to $6 a share, if you put that investment closer $20 million to $40 million, not $12 million and certainly not the $300,000 that’s recorded on our balance sheet. We also hold well over 9 million shares of Tono Stock. We also have 67 million of secured notes receivable from Tono that’s due in less than seven months. So if you totaled those Tono securities that we’re monetizing, it’s about $8 million. So for us $25 million of non-dilutive monetized cash flow coming into the business over the next 12 months. Before I close on the corporate update, I just have a couple of additional items. Last week, we learned that a very longstanding, I would say, frivolous lawsuit against us was not only definitively won and concluded, but that the judge awarded us and the county over a $0.25 million in legal fee reimbursements substantially all of which would go to us. This positively concludes the zoning discussions associated with our Dayton resource area. Of course, we haven’t been sitting in our hands. In the meantime, our updated resource modeling on the Dayton is well underway. We will publish a series of interpretations and developments on this data as it becomes available well before publishing the full technical report. The technical report will be under the new SK-1300 standards that will be published this year and we know there’s tremendous value in the Dayton resource properties and that the technical report is really the most important next step for unlocking that value and validating that value to the market. We also understand that Tonogold has prioritized the completion of their technical reports for the Storey County property. So all of which we either own or hold stakes in in one form or another. They also appear to have made process changes that we deem productive towards accelerating the publication of their technical report, the completion of their financial audits, and ultimately, upgrading their stock listing. From the activities we see this all seems to be moving more forward at a much, much more diligent pace. Regarding MCU, we’re fully set up in the Philippines with our mine camp, our employees, our management and our operations. We have fully run and tested the operations and even expanded the equipment with two new Grizzlies for proper separating and sizing of the sand and gravel materials that we’re selling to our customers. We have shipped sand and gravel to our first two customers. We did, however, have a permanent oversight in the Philippines that we have now corrected reapplied for and expect to get approval within the next week or two. So we can restart processing and selling those sand and gravels, again, remediating the mercury extracting the gold. Just as a step back, we haven’t continued to have all of the permitting that we needed from the Department of Environmental and Natural Resources in the Philippines. But apparently, we required to have this additional permit solely for the purposes of the mercury containment relating to the sand and gravel process, and caused us, frankly, a very disappointing delay. During the past five weeks, though, the team has expanded the equipment. We built the team at Grizzlies, we’ve tested them, everything’s ready and fully operating, capable to go. We’ve expanded and finished off our mercury storage facilities. So we’re very much looking forward to just resuming the operations there. Everything’s in place, our operating expenses, there are variable, very low, unbelievably low. So we love the potential of this business and we very much look forward to the process getting up and running on a full scale. There’s no other negatives that we are aware of in terms of how that system operates and what we’re looking forward to. On a much bigger note, our transformational efforts have quickened during the first half of this year. We are affecting a little green shift in our operating businesses. Our team is solely focused on the activities that enable rapid and I’m going to say exponential revenue gains in these huge end markets that we’re addressing. We believe that just our existing platform today, as I just recently mentioned, is already worth many multiples of our $0.5 billion target, just based on the comparative valuations, it would exceed $1 billion, just for similar lines of businesses that are publicly out there and capitalized in the market. I’m going to provide a quick overview on the three, LiNiCo, RPS and LP Biosciences. We recently filed as we previously disclosed for the main LiNiCo permit application for state-of-the-art lithium-ion battery recycling facility that now reflects 100,000 ton per annum production profile for just the first plant in this business. This is literally a 5x increase from what we had originally provided guidance on and I’m happy to explain that now and in the Q&A. LiNiCo new processes will commence upon the approval of that permit that we filed, which is anticipated before the end of this year, and we anticipate the completion and startup arrival of equipment coming November, December, January, February, commissioning in March, April, startup in that second quarter, almost all of our equipment has already been ordered and we are moving very, very fast here. Once complete, as I mentioned, the facility expected to scale up to its initial nameplate now exceeding 100,000 tons per year of lithium-ion batteries over a period of the first three years, with annualized revenues exceeding $0.5 billion per year during the third full year of operation. What’s remarkable here is that these sales only represent black mass production and black mass sales. Those sales will be enhanced with downstream mineral and cathode production tremendously. Again, to be clear this guidance because of the expanded footprint of the plant is only for black mass. LiNiCo’s capacity breakthroughs are a direct result of our recent acquisition of the engineering procurement and construction company Renewable Process Solutions or RPS and its founder Mr. Rahul Bobbili. Rahul who’s now Comstock’s Chief Process Engineer company-wide has designed and built 21 advanced renewable fuels production facilities just in the last 15 years and RPS has provided these engineering and commissioning services for other renewable metals and renewable fuel industries, a tremendous amount of capability here, a tremendous machine that we’ve added to the network. I don’t believe anyone can have a true appreciation of what RPS’s impact has been already to our system. It brings us an extraordinary competitive advantage just for LiNiCo, but right now RPS is also bidding on LP Biosciences or a portion of LPL Biosciences engineering work as well, with indications that they could potentially save that project millions in CapEx on a faster cycle time and enhancing the overall value of both our and our partners’ investment. We believe LP Bio will be the largest industrial hemp processor and producer of extracted oils in the United States and like LiNiCo, the platform is designed to quadruple the capacity after its initial startup in the third quarter of 2022. The LP Bio facility alone is expected to scale up to its nameplate capacity exceeding 200,000 pounds per day of industrial hemp over its first three years, which will generate annualized revenues of over $400 million in the full three-year of operation. And this is just based on the small oil fraction of the industrial hemp industry. The rest of the biomass that comes out of that process is comprised of cellulose with many known co-products that we’re evaluating in our decarbonisation efforts, including electrification applications that we believe are hiding in Plain Sight. So just to be clear, LiNiCo has an incredible revenue ramp up just with black mass, not minerals, not cathodes. LP Bio has an incredible ramp up on just one oil extraction from the industrial hemp, not the other co-products that we would look ultimately to add through the MANA system. Speaking of Plain Sight, we also have been working closely this year with PSI. Plain Sight Innovations on a number of new technologies, including a novel process for immediately extracting lithium from black mass quickly and efficiently. There’s more to come soon on that, but I just want to acknowledge today, no one’s able to do that. We believe we’re going to be able to do that very soon. We’re also working with existing processes for the efficient extraction of carbon from woody biomass with potential applications for producing anodes in batteries. As we started looking at becoming a cathode producer in the battery market, we explored these possibilities and we’re shocked, at what PSI can actually do by taking waste wood, waste wood biomass, where the government’s reporting over 1 billion tons of year is being generated laid waste in the United States alone. PSI can converted efficiently into ethanol into biogasoline, into biodiesel and many other products. Right now they’re helping us accelerate the lithium extraction from the black mass for LiNiCo, which will be another breakthrough. We believe that this global clean energy transaction -- transition, I’m sorry, this massive green shift, if you will, plus an escalating population growth is converging into a perfect storm of global demand. Demand of which is hard to exaggerate in these strategic materials, without any meaningful corresponding capacity to meet even a fraction of this demand. So we’re now building that capacity to meet these rapidly growing demands in each one of these businesses. This is literally positioning us for exponential growth and we’re deploying these plants in our systems for that capacity now, physical capacity in Nevada, physical capacity in Iowa, and over the next three years gives over a $1 billion in revenue. But regardless, for those plans, we’re going to need more speed and we strongly believe that speed is arrived in the form of a quantum computing advantage. We’ve invested in emerging quantum computing technology to accelerate the innovation of breakthroughs for new materials for use in these applications, meaning, excuse me, meaning, specifically, batteries, mining, decarbonisation. We’re partners with leap, we’re with leaders in the industry, the top professionals, the top companies in the industry, as we position ourselves to continue leadership in these material sciences. So just to wrap up, we’re on a path to almost $1 billion in revenue from just LiNiCo, MANA, MANA/LP Bio and MCU, without any new additions. We plan on increasing this with PSI, likely this quarter, certainly, this year, finishing the retrofits of two existing facilities in 2022. We’re retrofitting two state-of-the-art existing facilities here and now with growth and revenue in 2022 and we’re going to exceed our near-term $0.5 billion market value well ahead of schedule. In fact, we’re extremely focused on only those items within the timeframes that we published. Our money’s where our mouth is, as we’ve directly linked these performance objectives with our goal of delivering this first $0.5 billion, which we are now obviously reassessing as each of these new growth businesses can exceed multiples of that amount, as we move to an exponential ESG based growth track. We’ve already seen an incredible recognition just in our shareholder base, with all of you, with all of you, but notably also BlackRock, Vanguard, and now Fidelity showing up in our top shareholders. This is just the beginning of our targeting effort. But regardless, our comp is structured so that the shareholders aren’t rewarded then neither are we. It’s 100% performance base. So, with that, I’m going to ask Zoom. Now, I’m going to ask Zach, our Zoom host to stop here and please facilitate our questions.
Q - Zach Spencer: Okay. Thank you, Corrado. Our first question and I know you spoke about this during your presentation. It’s regarding MCU…
Corrado De Gasperis: Yeah.
Zach Spencer: … and they’d like to know how many units are operating and what does the P&L look like? And what is the plan to scale the MCU business?
Corrado De Gasperis: Yes. Thank you very much. So we have two units in existence. One is on the Comstock, which is our pilot unit, operating 25 tons a day. It’s not currently operating 25 tons a day, the capacity to operate a 25 tons a day, and then the first commercial unit, which was landed in the Philippines, which can do 150 tons per day. So the intention, first and foremost, is to have the MCU unit fully operating in the Philippines, operating at or near the 150-ton capacity, I’m sorry, 150-ton per hour capacity, okay, and be selling all of the sand and gravel that comes from that system, cash positively. That’s objective, number one. Object number two, to extract any and all of the mercury that’s resident in those materials and to extract the gold from the mercury in those materials. I mentioned on the last call that we started at the very, very low end of the river, it’s the safest place to start, it’s where we have the easiest and best access to the sand and gravel materials. It’s also the area that has the least amount of mercury contamination. So while we were down for the last five weeks, we’ve been extending our scoping and sampling plans for the rest of the river to identify where the higher mercury and gold contents are and to expand our mercury containment unit and to expand our actual system. We put two new Grizzlies on there, so that we can sort descending gravels to different sizes, as our customers are specifically asking us. So the outlook for that is, A, revenue and smaller level of property billing, just from sand and gravel. We believe that’s an incredible derisk of the model. And then to start growing that revenue based on the mercury and gold contents that were identified. At a relatively low grade of gold and those mercury’s the potential is very high in terms of the amount of cash that we can generate monthly, but it’s going to be a two step process, it’s sand/gravel up, announced that its back up and running, announced that its generating cash, and then expand up the river to the higher points of contamination. Now, once we’ve done that second piece, we’re very, very keen to talk about landing the second system and landing the third systems, but it’s going to be methodical. The Philippines is our essentially first commercial site. We’re going to be cautious. I’ve had multiple conversations with our joint venture partner there. We could not be more aligned and we’re fully committed to get that up and running. Beyond that, I can’t exaggerate the number of projects and the inquiries that are out there from historic and/or artisanal and small scale mining sites with mercury contamination. The conversations are abundant. But we have to walk before we can run. I’m disappointed in this mercury hiccup, deeply disappointed in the mercury hiccup. We’re making operational changes with our joint venture partner there to address the circumstance. So it doesn’t happen again. But financially in the grand scheme of things, it’s a very, very minor setback in the scope of a mining operation and we’re very excited about moving it forward.
Zach Spencer: Okay. Thank you, Corrado. Next, we have a quick statement, this shareholder says, our company is an open book to shareholders. Thank you and the stuff for all you do to make this world a better place. And that is followed up by this question from another shareholder, what are the specific milestones that trigger payments for the quantum computing investment, were they not listed due to an NDA  with another company.
Corrado De Gasperis: Yeah. Thank you for that. So what quantum computing investment is designed to achieve is to create a capability to generate new materials. So we’re developing programs to create a capability to develop new materials, okay. The first priority that we’ve established is new materials for batteries. So we can see an immediate and direct implication on LiNiCo with that outcome. Quite frankly, we’ll see an immediate direct impact on all of the EV industry with that outcome, the EV industry that’s incredibly challenged today, because of the scarcity of the materials available for the existing configuration of these batteries. So that’s our first objective. And our second objective will be to commercialize those materials. And then, the third and fourth objective is to have an application for the mining industry, including quantum sensing, and for our carbon capture and reduction industries, which include LP Biosciences and PSI. So as we start to be able to connect the dots better for our shareholders, the investment in quantum has a direct and strategic implication, and immediately direct and strategic implication to everything that we’re doing. We are NDA. We are in a stealth mode. And we do have strategic partners. There are leading leaders in the industry and we couldn’t be more humbled, proud, excited about the people that we’re working with and we’ll be able to say more about that in the future.
Zach Spencer: Our next question is, do you have any customers lined up for LiNiCo or hemp business?
Corrado De Gasperis: Yes. So let me start with LiNiCo. The effort for LiNiCo has been fast and furious with the engineering designs. And so we could not be happier with the breakthrough that we had and it was an engineering design breakthrough, simply to get much more out of an existing crushing and separating system, but then doing it in a way where we could fit multiples of those systems in our one facility footprint. Secondly, we are now working on the extraction -- downstream extraction in parallel with Green Li-ion, who is working and finalizing their downstream extraction for cathodes. So we are going to have a solution that gets us to pure cathodes, a solution that gets us through pure minerals. And even our other partner Aqua Metals is working on a hybrid metallurgical solution to get to minerals. So we’re very excited about the downstream. But the important takeaway message for our investors is because of this capacity breakthrough and believe me, I would be very unhappy if all he did was sell black mass. But with $0.5 billion in revenue and the same nine figures of profit, we would be risk this thing, if it going to happen. Everything from here is gravy. What are we done, responding to the question, we are now in multiple discussions with who most people would perceive as some of the largest customers in the industry for supplying their materials, that’s remarkable. Interestingly, because of the nature of this industry, some of those same people are talking about supplying us feedstock. So we’re talking about a true closed loop with strategic players in the industry of the largest magnitude and we are spending now the majority of our time focusing on securing the rest of the feedstocks for this incredibly large facility.
Zach Spencer: Okay. Thanks, Corrado. Our next question is, the press release on GenMat stated that Comstock was going to purchase 5% of the $50 million, in addition to the 45% that Comstock already owns. Is the market value of GenMat $1 billion?
Corrado De Gasperis: So, basically what happened, is that we identified an opportunity with the startup company. And I cannot exaggerate the competency of its key professional. I cannot exaggerate the network of people that this key professional is working with. But, quite frankly, we engaged that person, that team and we were involved dramatically in developing what we believe is just a superior plan with a superior strategic partner. And in doing that, we earned ourselves a tremendous amount of founders’ equity, okay, a tremendous amount of founders’ equity. It was earned with sweat and brains and maybe a little bit of tears, not that many tears, okay? And so, then we looked at what was we required to generate new materials, what would be required to commercialize those materials, what would be required to commercialize additional lines of business and we committed to up to $50 million, but only the first $15 million, right, is committed through the first objective over the next two years. So I personally think every business that we’re going into is going to be worth multiple billions and I’m basing that on the impacts and the cash flows that we see possible. But for valuation, today, there’s a lot of work to do, okay. There’s a lot of work to do and you’re going to be hearing about it over the next weeks, months, and hopefully two years the tremendous success. So we’re going to have to hold the valuations back before we actually get something achieved here, we don’t have any achieved yet. On the contrary with LiNiCo, where we invested a $70 million valuation, we see public competitors in two instances, having valuations of greater than $1 billion. And we don’t see either one of those competitors, having a facility like ours with the capacity that we’ve announced, with the equipment that we’ve now ordered, right, with black mass that we’re making in our lab. Number one, we see a private company valued at $3.7 billion, similarly not having announced the capacity that we’ve announced and the facility that we have. So, yeah, I think there’s the billions coming in each line of business, the quantum one has the most farthest out work to do by far, the lithium one has the most immediate wrapping up, MCU is just as immediate as LiNiCo, but MCU is a little bit more disparate, right. LiNiCo is going to ramp up one plant to $0.5 billion in revenue with without their downstream products. MCU is going to be populating many, many sites around the world, cleaning up ecosystems and generating mercury remediation and gold. So, there’s common denominator here, everyone in these businesses have markets that are just enormous, that have no capacity existing today to deliver to them and we’re meeting those needs with the capacities we’re putting in place.
Zach Spencer: Okay. And the next question is, how do you assess where you stand with your competition with LiNiCo and your hemp business?
Corrado De Gasperis: So I just I just sort of mentioned that in terms of LiNiCo and so I won’t really elaborate. I think we’re at, frankly. I don’t only -- not only don’t think, not only do I know that we’re at, okay? But with RPS in our portfolio, people don’t appreciate this. We’re engineering our own solutions and we’re manufacturing our own equipment. I mean, we’ve got more capability than any of them. In terms of hemp, the industry is massive and the only thing holding it back is it doesn’t have processing capacity. I mean, we’ve literally had conversations in the last three weeks or four weeks with farmers, who have said, we’ve got 5000 acres planned for this grow. But if your capacity is going to come online, we’ll go to 40,000. So the industries there, the demand is there, but the processing is hasn’t been there at scale or reliable. In addition to that, we’re going to be the first large scale, we largest full stop. We the first large scale that can remediate THC out of the material, no one can do that at scale today, no one, we can. RPS is involved in those discussions as well, in terms of the engineered solutions that we have. So I’m trying to paint a little bit broader picture of what the system is starting to evolve into. Zach?
Zach Spencer: Okay. And next we have a statement. Thanks for all your hard work. I can answer the first question. The first question is, how do I get a cat? We get asked that question in quite a bit. And those will be available on our website, in our store, our online store that we have. So we are currently working on that.
Corrado De Gasperis: Let me interject that…
Zach Spencer: Oh!
Corrado De Gasperis: If you’re going to buy a constant cat, buy quickly, because the name is changing, it’s going to be Classic, okay. It’s going to affect us either , all right, for sure.
Zach Spencer: Okay. And then a question is, do we have a goal for the number of outstanding shares?
Corrado De Gasperis: We don’t have a goal, right? But we have a view that with the PSI acquisition, as we are currently finalizing it, that we would be about 62 million shares. So we believe, when in hindsight, and when I’m talking about hindsight, I’m talking about you all looking back on 2021. So I’m talking in January, when the dots have been connected, when we’ve published institutional quality financial models that combine LiNiCo, LP Biosciences, PSI and MCU. When you look back onto those models, onto those guidances, people are going to be scratching their heads as to how we so efficiently were able to consolidate these businesses. It wasn’t luck, but we do feel fortunate. If you ask me my preference, I would have loved for this to have happened over a two and a half year period. We didn’t have that luxury, okay? The opportunities were being scrubbed, we’re being diligence, sometimes things just converge the way they do and you have to be ready to capitalize on them. So we understand that the sequence of what’s happened, the magnitude of what’s happened is not crystal clear, you have to understand that. In September, October, there’s going to be tremendous clarity. Here’s the model. Here’s what the combined consolidated company looks like. And I can tell you, that the nature of the financial institutions, so if we’re talking about BlackRock, Fidelity, Vanguard, et cetera, et cetera, or if we’re talking about the Bulge Bracket Banks, Bulge Bracket Banks that have now reached out and making overtures to us. We’re on a different playing field. It’s a different game and it’s a different level. And so I want to apologize for the speed at which this had to hit you all, the sequence of which it had to hit you off. I would have sequenced it very different if I had a choice. But when it’s done and the dots are connected, it’s not going to be confusing. It’s going to be very exciting. It already is very exciting and we’ve never worked harder to this end.
Zach Spencer: Okay. Are you able to provide an update on supply agreements to match LiNiCo capacity and walk through the Phase 1 to 3 roadmap to cathodes?
Corrado De Gasperis: Yeah.
Zach Spencer: Also can you compare and contrast to your competition?
Corrado De Gasperis: Yeah. So I think that, let me go Phase 1 to Phase 3 cathodes and compare. So Phase 1 crushing and separating of our big capacities over 100,000 tons. All the engineering is done, all the permits have been submitted, all the equipments been ordered and it’s coming. Phase 2, I really think there’s four phases. Phase 2 is to come up with an immediate extraction of lithium from the black mass. That’s not being done, I don’t really think is being contemplated by our competition. We have a patented process embedded in PSI, that we’re looking to apply to this solution, which has two immediate effects, one, ability to sell lithium carbonate extract faster than anybody’s predicting, and secondly, to make the downstream process for whoever comes up with it, certainly Green Li-ion to get the cathodes much, much simpler. We’ve already affected simplification for the cathode production process. So we don’t know anybody that has the capacity designs to break black mass that we do. We don’t know anybody that’s even contemplating extracting lithium like we are. We don’t know anybody that’s planning to make 99.99% pure cathodes like Green Li-ion is committed to us they can do. The fourth phase is that, there are multiple exercises one by us and RPS and one by one of our partners to take that black mass sands lithium and extrapolate it to nickel, cobalt, manganese and graphite. And so there’s many people trying to do that. For us, it’s a cherry on top of everything else. So it’s not necessarily an advantage or disadvantage, we’re going to be doing that because we want to be a broad supplier of the materials to the whole market. So that’s the four phases and the competition. What was the first part of the question, Zach, slipped my mind?
Zach Spencer: Yeah. Let me see. Oh! Were you able to provide an update on supply agreements?
Corrado De Gasperis: Oh! Yeah.
Zach Spencer: LiNiCo capacity?
Corrado De Gasperis: Yeah. So the supply is out there. It’s significant. And I think I already mentioned earlier in the call, that we’re engaged with multiple, very, very large companies in need of these battery materials and they’re also talking to us about a closed loop chain. And then we’re talking to many others, full target list, full target spread across the United States of feedstock supplier. So we don’t have an update on agreements. But as soon as we have agreements we will start updating you and that’s what we’re spending most of our time on now. Purposely not spending time on it before we finalized the breakthroughs and the other designs, but now that those permits are submitted, right, we’re going in. I don’t -- I’m pretty sure one of our competition has not even submitted their permit yet. I’m sure the other one submitted their permit and has made some changes in tensions in terms of their facilities. So, again, I think, we’re more focused and moving faster.
Zach Spencer: As you are working with Lakeview, are there carbon capture opportunities associated with ethanol plants and the ability to control 45Q tax credits?
Corrado De Gasperis: Yeah. So, look, the carbon -- the decarbonisation is going to emerge as an overwhelming theme of what we’re doing, okay? We’re throughput based. So for those who appreciate that, throughput is the rate at which we generate units of the gold, which means the rate that we generate cash per hour per day, the rate that we generate natural impact, which is the reduction of carbon emissions by and the rate that we make social impact that we call that triple point where we measure all three things. Now, if you look at the most offensive emitters of carbon dioxide into the atmosphere, ethanol leads the list. And so partnering with Lakeview is a tremendous opportunity for us to look at additional opportunities and we’re already looking at it. And we already have novel solutions, not to be discussed on this call, that’s for sure. But, going forward, we couldn’t be more, we couldn’t be better positioned to a reduce those kinds of emissions, and maybe excitingly capture those emissions for productive use. So that’s coming, that’s coming in the future. If we’re in cellulosic fuels that will omit carbon dioxide and we will be able to capture and put those to productive use. So these dots which were connecting the very high level now are going to start to getting connected at a much more detail level and it’s going to be pleasantly surprising to people what’s going to come out of this. Zach?
Zach Spencer: Is LiNiCo capable of processing 100,000 tons of waste batteries per year? Where will the feedstock come from?
Corrado De Gasperis: So, again, as I said, there’s long term universal waste handlers, there is an abundance of electronic devices and abundance of batteries, many of which today are going to landfills for regulatory purposes. There is an abundance of -- just not an abundance but a rapidly increasing amount of EVs from cars, a lot of them are in the test mode. Some of them like Tesla are obviously in the operating mode and really they’re going to non-productive uses today. Pretty much the entire industry is repositioning to bring those in. We’re working on that. We will advise when we have those agreements in place. But given the scale up of 100,000 tons over three years, there’s not going to be any scenarios where there’s scarcity for us of batteries to feed the alligator, we’re going to be feeding that system, those batteries in the ramping and increasingly amount over time. So I just have to say more to come on that as we move forward.
Zach Spencer: Okay. And our next question is, will the company be purchasing any stock at these current prices?
Corrado De Gasperis: We’ve had some indicators by some of our directors, hey, when this blackout period lift and can we buy some stock? We expect to see some of that for sure. The -- these acquisitions are also bringing in some incredible management competencies. I mean, a team, like, I haven’t seen and to the person, man and woman, they are agreeing to sell their businesses for stock and agreeing to locking that stock up over five-year period. Could not get a more stronger testament to how much they believe in what they’re bringing to the table and what we can do together. And I think bottomline on this, come the end of the year, our insider holdings will be much, much larger than everyone -- anyone’s anticipating between a combination of those things. So we’re skin, we’re in the game, all in, all committed, all restricted. If we don’t perform, we don’t get rewarded.
Zach Spencer: Okay. And shareholder would like some more clarity, they wanted to confirm that we have $25 million in assets for sale and $30 million are under contract. Is that correct?
Corrado De Gasperis: $25 million for sale, $13 million under sales contract for land, another $6.7 million under senior secured contract or payments by March. That’s the total roll note receivable. There is a possibility that some or all of that note will be paid early, based on the developments that we’re seeing, but certainly not later than the end of March. Yeah, so those are the two biggest components pushing $20 million of the $25 million.
Zach Spencer: Okay. And a shareholder would like an update on Tonogold.
Corrado De Gasperis: So Tonogold had some changes, okay. I use the term process change earlier. But, frankly, they’ve added an incredible new director to their Board. I’ve had a number of conversations with very, very strong, professional, very level headed professional. I’ve talked to all of their top stakeholders. They’ve accelerated the process for finishing their technical report. It’s nearly complete in draft form and we’ve seen it. They are accelerating to a final conclusion their audited financial statements. That’s a prerequisite for their uplisting and they’re moving forward with uplisting. So we expect to see some additional drilling, believe it or not, over next few weeks, get started. We expect to see meaningful changes in the rate at which their business plan moves forward and we’re very supportive of it. Like we think it’s going to be successful. They’ve got some great partners, meaning stakeholders, meaning shareholders and they’re talking to some very good one. So I think it’s going to keep moving forward. Everyone was disappointed by some of the initial delays and the drop in their share price, but it looks like they’re getting their plans back on track and we’re happy to see that.
Zach Spencer: Congratulations on your transformational Green Shift. What is your relationship with Green Shift Corporation?
Corrado De Gasperis: So we have spoken to the Green Shift principals. We love the people. We absolutely love the people. We have really focused on this Plain Sight Innovations component, if you will, of that, for lack of a better term network. And the main principle of that company, we put in the highest regard and the collaboration with that principle and with the senior executives of Plain Sight Innovation, as far as I’m concerned is one of the final pieces to this puzzle and incredibly powerful business model. But we’ll hold and reserve more conversation until that’s really closed, quite honestly, just because I don’t want to jinx it.
Zach Spencer: Okay. Corrado, that wraps up all of our questions. Thank you all.
Corrado De Gasperis: I know, there’s a lot of change. I know that there is a feeling of urgency for us to deliver, right, the revenues from these businesses, we’re here to say we’re committed to MCU, we’re committed to an even faster ramp up with LiNiCo, we’re committed to a very fast ramp up with LP Biosciences and MANA, and what you -- what we are -- and we’re committed, frankly, to closing this deal with PSI and presenting most likely the biggest business model, the biggest line of businesses, of everything that we’ve talked about so far. And by the end of September, having consolidated institutional quality model of all those businesses and engaging are targeting new shareholders that are very interested and the population of those is huge, right? So I think we’ve expanded our footprint, but we’ve also expanded the areas and people of interest in investing in this company. And we believe that will fundamentally be the last driver to seeing the share price move, not just to $12, which is our intermediate objective, but well beyond. So we’re working hard on it. We’re focused on it. And if anyone was unable to put a question in, please feel free to reach out to me or Zach, at your convenience. Thank you and we look forward to the next call.